Operator: Good morning and thank you for joining us today for Hovnanian Enterprise’s Fiscal 2014 Fourth Quarter and Year-end Earnings Conference Call. An archive of the Web cast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in a listen-only mode. Management will make some opening remarks about the fourth quarter results and then open up the line for questions. The Company will also be webcasting a slide presentation, along with the opening comments from management. The slides are available on the Investors page of the Company's Web site at www.khov.com. Those listeners who would like to follow along, should log on to the Web site at this time. Before we begin, I would like to turn the call over to, Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeff O'Keefe: Thank you, operator, and thank you all for participating in this morning’s call to review the results for our fourth quarter, which ended October 31, 2014. Before we get started, I would like to quickly read through our forward-looking statements. All statements in this conference call that are not historical facts should be considered as forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the Company to be materially different from any future results, performance, achievements expressed or implied by the forward-looking statements. Although we believe that our plans, intentions and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions or expectations will be achieved. Such risks, uncertainties and other factors include but are not limited to, changes in general and local economic, industry and business conditions and impacts of the sustained homebuilding downturn, adverse weather and other environmental conditions and natural disasters, levels of indebtedness and restrictions on the Company's operations and activities imposed by the agreements governing the Company's outstanding indebtedness, the Company's sources of liquidity, changes in credit ratings, changes in market conditions and seasonality of the Company’s business, the availability and cost of suitable land and improved lots, shortages in price fluctuations of raw materials and labor, changes in home prices and sales activity in the markets where the Company builds homes, fluctuations in interest rates and availability of mortgage financing, changes in tax laws affecting the after-tax cost of owning a home, operations through joint ventures with third parties, government regulation, including regulations concerning development of land, the homebuilding, sales and customer financing processes, tax laws and the environment, product liability litigation, warranty claims and claims made by mortgage investors, levels of competition, availability of financing to the Company, successful identification and integration of acquisitions, significant influence of the Company's controlling stockholders, availability of net operating loss carry-forwards, utility shortages and outages or rate fluctuations, geopolitical risks, terrorist acts and other acts of war and other factors described in detail in the Company’s annual report on the Form 10-K for the year ended October 31, 2013, and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances or any other reason. Joining me today from the company are Ara Hovnanian, Chairman, President and CEO; Larry Sorsby, Executive Vice President and CFO; Brad O'Connor, Vice President, Chief Accounting Officer and Controller; and David Valiaveedan, Vice President, Finance and Treasurer. I'll now turn the call over to Ara. Ara, go ahead.
Ara Hovnanian : Thanks Jeff. Let me get started with our fourth quarter results which can be found Slide 3. Starting on the upper left hand portion of the slide, you can see that our total revenues increased 18% year-over-year from the fourth quarter of fiscal '13. Our revenue growth was driven by an increase in both deliveries and an increase in average sales price from $360,000 to $387,000. I'd like to say that we raised home prices but this increase in average sales price is primarily due to geographic product mix changes. During fiscal '14, we along with almost the entire homebuilding industry experienced a slower pace of sales per community compared to 2013. In addition we saw our pricing power moderate from what we experienced in the prior year. As projected on our last call, you can see in the upper right hand portion of the slide that our homebuilding margin did in fact decline. Our fourth quarter gross margin of 19.3% was slightly lower than our expectations due to the increased use of incentives since our last call, primarily on spec homes. Continuing clockwise, in the lower right hand quadrant, we show that the dollar value of our backlog increased 12% year-over-year. Finally, in the lower left hand quadrant, we show that our SG&A ratio decreased to 130 basis points this quarter to 9.3%, compared to last year's fourth quarter of 10.6%. We also show that interest as a percentage of total revenues decreased a 140 basis points to 5.3% compared to last year's fourth quarter of 6.7%. These year-over-year improvements demonstrate some of the efficiencies we achieved by growing our top line. Going forward, we remain focused on generating further growth in revenue so that we can gain more efficiencies and return many of our operating metrics to normal levels, that obviously will drive increased profitability. Slide 4 illustrates another view of the leverage we gain as we grow our revenues. As our top line increased throughout the year, we leveraged our fixed cost and returned to profitability during the second half of the year. Starting the upper left hand corner of the slide, you can see that sequential quarterly growth in our revenues, which typically peak in the fourth quarter. Moving to the upper right hand portion of the slide, our gross margin increased sequentially for the first three quarters of 2014 and then dropped off slightly to 19.3% during the in the fourth quarter. In the lower left hand quadrant, we show that our total SG&A and total interest expense as a percentage of total revenues improved sequentially each quarter during 2014. Our SG&A ratio improved from a high of 16.6% in the first quarter to a low of 9.3% in the fourth quarter. Our interest expense ratio followed similar trends, going from 9% in the beginning of the year to 5.3% during the last quarter. The results of these improvements or our profitability can be seen in the lower right hand portion of the slide, where we show that we slung to a $15 million pre-tax profit during the third quarter and then to a larger 36 million pre-tax profit in the fourth quarter. While we are profitable for the second consecutive year, there is still a lot of work to do. We're convinced that as we continue to generate increases in revenues, we will show further improvements in our SG&A and interest expense ratios. Over time, this will allow us to achieve higher levels of sustained profitability. One goal we'd like to achieve over the next several years is to even out our quarterly deliveries so that we can be profitable in all four quarters. However, we don't anticipate being able to achieve this in fiscal 2015. Turning now to the current sales environment; on Slide 5, we show the dollar amount of net contracts per month for the past 12 months. The most recent month is show in blue and the same month in the previous year is shown in yellow. We used green arrows to indicate year-over-year increases and red arrows to indicate year-over-year declines. Scanning across these colored arrows, it's an understatement to say that the past 12 months have been choppy. The housing market this past year has been more challenging. In addition, the first seven months of this 12 month period had much tougher comparisons. As such, from December 2013 through June 2014, we had only two months with positive year-over-year comparisons and five months with negative comparisons. We saw more positive trends from July through November, albeit with easier comparisons, with only one negative monthly comparison and four positive monthly comparisons. In November, the final month we show in this slide at the beginning of our new fiscal year, we reported a 15% year-over-year increase in the dollar amount of net contracts, including unconsolidated joint ventures and 25% increase for the dollar amount of consolidated net contracts. On Slide 6, we show the number of monthly net contracts per community, as opposed to the dollar amount on the previous slide. For the past 12 months, we have had only three months that showed year-over-year improvements. In November we achieved two contracts per community, compared to 1.8 during November of last year. We’re happy to begin the first month of our fiscal year with a 10% increase. Hopefully this will be the beginning of a positive trend for our fiscal ‘15 year. On Slide 7, on the left hand side we show our quarterly net contracts per community for the past four years. The year-over-year comparisons turn negative in the third quarter of 2013 and remain that way through the third quarter of 2014. In the fourth quarter of 2014, we posted a year-over-year increase, not a big increase but a subtle shift. Hopefully again this will also prove to be the start of a more positive trend. Unfortunately the increase in the fourth quarter was not enough to show an improvement for the full year. On the right hand side of the slide you can see that we have 28.4 net contracts per community for all off fiscal 2014. This was less than 30.7 we had in 2013. This year-over-year decline in sales pace is not something we expected to see at this early stage of a housing recovery. On Slide 8, we try to put our sales per community into perceptive with those public home builders that reported September quarter end results. This slide shows the year-over-year change in net contracts per community for our peers and compares our results for the same three months ended in September. While our performance was better than many, I suspect all of us were hoping for better sales results. Given the gains we have seen through 2014 in employment, we would have expected housing demand to be stronger than the low levels we’re currently experiencing. While sales pace per community was disappointing, an increase in community count led to an increase in the absolute level of net contracts and dollar amount of net contracts for both the fourth quarter and the full year. We show on the left hand side of Slide 9 that the dollar amount of net contracts increased 15% to $512 million. On the right hand side of the slide, we have the full year results. Due to a healthy increase in average sales price and an increase in community count, the dollar amount of net contracts increased 10% to just over $2.1 billion. This was achieved despite a slightly slower sales pace per community. Even if housing demand does not improve in 2015, we believe the increased community count we’ve achieved to-date, combined with the additional communities we plan to open will position us to achieve higher levels of home sales in 2015. On Slide 10, we show that our consolidated community count has grown steadily since the end of fiscal ‘12. Increasing our community count is not an easy task. During fiscal ‘14, we opened 98 new communities and close out of 89 older ones. At October 31, 2014 our community count was up to 201 communities, compared to a 192 communities at the end of fiscal ‘13. This was the first time since 2009 that our consolidated community count was above 200 and we expect additional growth in community count during fiscal ‘15. Our new $250 million bond offering last month will allow us to grow our community count more rapidly in the future. Based on the growth in our community count, net contracts, and our average selling price, the dollar amount of our backlog has grown compared to last year. On Slide 11, we show the dollar amount of our backlog increased 12% to $856 million from $762 million at the end of last year. You can also see in the bottom of the slide that the number of homes in backlog grew to 2,229 up from 2,167 last year. This increase in backlog, combined with the growth in community count, gives us the confidence that we'll be able to continue to grow our top line as we head into next year. Ultimately demographics are in our favor and consumers should buy homes at an increased rate in the future. Simply put the population and number of households in the U.S. is growing and the nation is building fewer homes today than it needs to meet demand over the long term. We have positioned ourselves to take advantage of these trends. I’ll now turn it over Larry Sorsby, our Executive Vice President and CFO. 
Larry Sorsby: Thanks Ara. Let me start with a discussion of our gross margin trends. As you can see on the left hand side of Slide 12, we show our annual gross margin percentage for the past four years. Both fiscal 2013 and 2014 we achieved what we consider to be a normalized gross margin for our Company. On the right hand side of the slide, we show that for the first three quarters of fiscal 2014, we have sequential increases in gross margin. As we forecasted during our third quarter Analyst Call, for the fourth quarter our gross margin declined. During the fourth quarter we experienced a more competitive environment in many of our markets, with broader use of incentives by our peers as well as increased competition from the sale of used homes. As a result, primarily due to increase use of incentives on spec homes, our fourth quarter gross margin of 19.3% was slightly less than we had anticipated. Assuming no changes in current market conditions, we expect our gross margin for 2015 to be just below our normal historical range, similar to what we’ve reported for the fourth quarter of 2014. Turning to Slide 13, you can see our total SG&A as a percent of total revenues decreased sequentially in each quarter of fiscal 2014 from a high of 16.6% in the first quarter to a low of 9.3% in our fourth quarter. On Slide 14, we show our annual total SG&A expense as a percentage of total revenues going back to fiscal 2001. We consider approximately 10% as a normalized SG&A ratio, primarily related to our efforts to grow our community count and the adverse impact on slower deliveries for our community. Our SG&A expense ratio increased slightly for the full year compared to fiscal 2013. As we continue to generate future revenue growth and achieve more normalized sales base per community, we expect to be able to leverage our fixed SG&A expenses further and get this ratio back to a normalized level of around 10%. This will not happen overnight, but we expect to be able to gradually work this number down each year during the next several years. Despite the fact that we have given directional guidance for our community count, revenues, home building gross margin and SG&A expense ratio, the market remains too choppy to give specific comparability guidance for fiscal 2015 at this time. Furthermore until the proceeds from the $250 million bond offering we closed in November or put to work purchasing new land deals and home deliveries start to occur from those land purchases, the incremental interest from that offering will negatively impact our profitability. We are willing to sacrifice short-term performance in order to open more communities, which we expect will ultimately result in longer-term benefits from increased profitability. We remain convinced that this is the right thing to do. Assuming no deterioration from current market conditions, we expect to be profitable for our full 2015 fiscal year. Similar to the past two years, we continue to expect the majority of our profits to come in the second half of the year. Turning now to Slide 15, you will see our owned and optioned land position broken out by our publicly reported market segments. At the end of the fourth quarter, 92% of our option lots are newly identified lots we have put under control since January 2009. Excluding mothballed lots, 84% of our total lots are newly identified lots. Our investment in land option deposits was $89 million on October 31, 2014, with $87 million in cash deposits and $2 million in deposits being held by letters of credit. Additionally, we have another $14 million invested in predevelopment expenses. Turning now to Slide 16, we show our mothballed lots broken out by geographic segment. In total, we have about 5,971 mothballed lots within 45 communities that were mothballed as of October 31, 2014. The book value at the end of the fourth quarter for these remaining mothballed lots was $103 million, net of an impairment balance of $412 million. We're carrying these mothballed lots at 20% of the original value. During the fourth quarter, we unmothballed one community in Florida. Since 2009, we have unmothballed approximately 4,100 lots within 68 communities. Every quarter, we review each of our mothballed communities to see if they are ready to be put back into production. Assuming current market conditions remain steady, we anticipate unmothballing approximately 900 lots in fiscal 2015 in two locations. About 630 of those lots are in Natomas, California where a building moratorium due to levies and flooding issues are expected to be resolved soon. The other 270 lots were in a parcel of land right on the Hudson River in New Jersey overlooking the Manhattan Skyline where we plan to build a 14 story midrise, which is likely to be completed with the joint-venture partner. Looking at all of our consolidated communities in the aggregate, including mothballed communities, we have an inventory book value of $1.3 billion, net off $569 million of impairments. We have recorded those impairments on 72 of our communities. For the properties that have been impaired, we're carrying them at 19% of their pre-impaired value. Another area of discussion for the quarter is related to our current deferred tax asset valuation allowance. During the fourth quarter, we reversed $285 million of our current deferred tax valuation allowance. We will reverse some or all of the remaining valuation allowance when we begin to generate higher levels of sustained profitability. At the end of the fourth quarter of fiscal 2014 the valuation allowance in the aggregate was $642 million. The remaining valuation allowance is a very significant asset, not currently reflected on our balance sheet and we've taken numerous steps to protect it. Although we will not have to pay cash federal income taxes on approximately $2 billion on pretax earnings, we will begin to report income tax expenses in fiscal 2015 on a GAAP basis. On slide 17, we show that we ended the fourth quarter with a total shareholders' deficit of $118 million. If you add back the remaining valuation allowance as we've done on this slide, then our shareholders equity will be a positive $524 million. Over time we believe that we can repair our balance sheet while returning the profitability and have no intentions of issuing equity anytime soon. Now let me update you on our mortgage operations. Turning to Slide 18, you can see that the credit quality of our mortgage customers continues to remain strong, with average FICO scores of 745. For all of fiscal 2014 our mortgage company captured 65% of our non-cash home buying customers. Turning to Slide 19, we show a breakdown of all the various loan types originated by our mortgage operations for all of fiscal ’14 compared to all of fiscal ’13. Our percentage of FHA loans was 15% in fiscal 2014. At the top right hand portion of this slide, we’ve shown that this is down from a high of 38% FHA originations in fiscal 2010. The steady decline in FHA originations is primarily due to both the recent lowering of FHA loan limits and the increases in FHA mortgage insurance cost. Borrowers that qualify have switched away from FHA loans to more affordable Fannie Mae and Freddie Mac conforming loans. As seen on Slide 20, even after we spent $161 million on land and land development during our fourth quarter, we ended the fiscal year with $309 million of liquidity, which includes $261 million of homebuilding cash and $48 million undrawn under our 75 million unsecured revolving line of credit. Subsequent to the end of the year, we successfully completed a $250 million debt offering which brings our pro forma liquidity up to $555 million. Over the past year, we invested $586 million on land and land development. With the peak capital needs of already approved deals in front of us, combined with a healthy pipeline of new land deals proceeding through due diligence and the uncertainty of where interest rates are headed, we decided to tap into the debt markets and raise our cash position in November. With this additional capital, we ended the year on a pro forma basis well in excess of our target liquidity range of $170 million to $245 million. Now turning to our debt maturity ladder, which can be found on Slide 21. The red bars on this slide represent unsecured debt. We have a lot of runway in front of us before any material levels of debt come due. We believe that we have the ability today to refinance all of our unsecured debt that matures between 2015 and 2017, however we don’t see enough benefit to paying the high cost associated with make-hold provisions to refinance those bonds today. We’re not likely to refinance or pay those bonds off until such time as we’re closer to the maturity dates. Needless to say, we feel good about our liquidity position and we’ll continue with land purchases that meet our underwriting hurdle rates. As you can see on Slide 22, beginning in the second half of 2012, the number of net additions to our lot count have exceeded the number of deliveries by about 10,700 lots. In the fourth quarter, our net additions totaled 1,700 lots which is slightly less than the delivery we had in the fourth quarter. This decrease is a testament to our discipline of sticking to current sales paces, current sales prices and current cost to build home from our underwriting land deals. We currently have all of the land we need for fiscal 2015 deliveries and 83% of our 2016 deliveries controlled today. Our estimates for 2015 and 2016 deliveries include assumptions that we will achieve year-over-year growth. Given the slower housing market we experienced in 2014, we’ve recently reassessed the underwriting criteria that we use when evaluating new land deals. We are remaining disciplined using current home price, current absorption pace and current cost to underwrite land, but have decided to increase our hurdle rates until we see sustained evidence that the housing market is improving. Today we are currently focused on land transactions for 2016 and beyond home deliveries. We have plenty liquidity and our land acquisition teams continue to work hard across the country to identify new land parcels. However as we are being somewhat more selective. We remain focused on controlling more land, opening more communities and growing our top-line in order to leverage our fixed cost. In light of the recent drop in oil prices, there have been a lot of investor interest in how home sales in Houston might be impacted. To-date, we have not seen any adverse impact. For our fourth quarter, we saw our net contracts per community in Houston increase 6%, and in the month of November, our net contracts per community increased 11%. In spite of these recent improvements in Houston, we remain concerned about the potential impact further declines in oil prices may have and we will continue to carefully monitor the situation. One housekeeping note; due to scheduling conflicts we will be issuing our first quarter results one week later than usual. That concludes our formal remarks and we’ll be happy to open it up for questions. Operator.
Operator: The company will now answer questions. So that everyone has an opportunity to ask questions participants will be limited to one question and a follow up, after which they will have to get back into the queue to ask another question. At this time, we will open the call to questions. [Operator Instructions] And your first question comes from the line of David Goldberg. Please proceed.
David Goldberg: My first question, I was wondering if you could give us some more visibility into the increase in the hurdle rates. And specifically kind of, if you can kind of tell us where you’ve moved them to essentially? And maybe how much of that is on a kind of local basis at this point, given some individual market risk versus a more national decision?
Ara Hovnanian : It’s really across the board national decision. We increased our hurdle rate on an unlevered IRR basis from 20% to 25% and also tweaked up our profit contribution percentage hurdle rate as well. And our teams are able to continue to find land deals at a higher rate and we just think that it's a prudent thing to do at this point in time. 
David Goldberg: Yes, I think that makes sense. Is there any, as you look at Houston specifically and obviously it's a big market for you and Larry, I appreciate the comments. Is there any specific kind of extra caution you're showing in that market, just given what's happening on oil prices. Is that you can do kind of proactively to make -- to kind of maybe lessen your exposure a little bit. 
Larry Sorsby: It's interesting, Houston is our largest market, but it's far from -- very far from our largest investment and that's because our strategy in Houston has been purchasing finished lots on a quarterly takedown basis. And as such, frankly our exposure and risk on the downside is not great. So at this time, we're really not -- while we're being cautious and we are certainly keeping our eyes open, we're not really changing our strategy and thus far everything feels pretty good.
Ara Hovnanian : By the way, I'll add that we don't tend to need much in the way of deposits in that market either. 
Operator: And your next question comes from the line of Michael Rehaut from JPMorgan.
Jason Marcus: It's actually Jason Marcus in for Mike. The first question is on the higher incentives that you talked about that impacted the gross margin during the quarter. I was hoping that you could provide a little bit more detail on the magnitude of the increased incentives and which markets they are most prevalent in and what the trend in incentives was throughout the quarter? Did kind of start to increase as the quarter one on or maybe it stabilized throughout the quarter -- toward the end of the quarter. 
Larry Sorsby: I'd say they were pretty stable. We just felt like we weren't getting enough traction in the market. I showed you the month-by-months that showed the choppiness overall in sales pace per community. And pace per community is a critical component for us. It is a big driver of SG&A. So the incentives varied all over, from obviously some locations with zero incentives to those with more significant. As we mentioned in the commentary, they were primarily directed towards spec homes. We want to make sure that we drive first quarter sales and deliveries as well as meeting our quotas for the fourth quarter. Hopefully the market will firm up a little bit and we'll reduce it, but you get an idea from the drop in gross margin as to the magnitude. It wasn't huge but a little adjustment was warranted.
Jason Marcus: And then the next question, I think in the past you talked about some increasing cycle times in certain markets due to shortages in labor and material. I've noticed that your backlog conversion actually improved in the fourth quarter. So just wondering if you could comment on what you're seeing on that front and how should we think about backlog conversion going into 1Q '15 and if that should maybe improve from last year or kind of be flattish?
Ara Hovnanian : Overall, we're still challenged by construction cycle times in most markets, and Houston continues to be one of those markets where we're feeling that challenge. I'll turn it to Larry on the backlog conversion. 
Larry Sorsby: Backlog conversion understanding [indiscernible] that it's one of the few data points you have to give you some insight as to cycle times, but I would caution you to use it as direct correlation. It's not something we really track religiously as we have a lot better data, and Ara's comments about -- we continue to see elongation of cycle times especially in Houston, but in a number of other markets as well. So I don't think there's a correlation to the conversion rate?
Operator: Your next question comes from the line of Nishu Sood from Deutsche Bank
Nishu Sood: I wanted to just dig into the gross margins a little bit. I wanted to understand, for the fourth quarter the increase in incentives and the decline in gross margins; was that more of a delayed tactical response to market weakness that has emerged during the year? Or did it reflect more that things got noticeably worse in the fourth quarter? The reason I'm asking the question is you folks mentioned -- have been mentioning incentives for some time, but the gross margin trend was still pretty decent. I think you mentioned this as far back at the beginning of 2014 and plus the market weakness is the great data you guys show us, shows that absorptions have been challenged for years. So was it just we need to readjust kind of heading into '15 or did things really get worse in the fourth quarter?
Larry Sorsby: Yes, I think the fourth quarter, it is an indication of markets slowed a bit, more than we would have expected, combined with we just had a number of started unsold homes were at a stage that we can actually deliver on in the fourth quarter. So we were extra incented to actually get them to close. So it took a little bit more incentive perhaps than otherwise would have. So it’s a combination of things. And as I mentioned in my portion of the earlier comments, I think for modeling purposes, our margin trend right now for fiscal ‘15 is running kind of similar to what you saw in our fourth quarter. 
Ara Hovnanian : And if you back to Slide 6 and it gives the month by month breakdown, that Slide 6 only shows the number of net contracts. The previous slide shows dollar amount. But it's one of the gages we look at. In August when we were -- just before we were chatting last in our conference call, we had an up month and we were feeling a little better, but then it was followed by September and October were more challenging months. So that's when we decided it was time to turn on a little incentive, more incentives. And we also -- we’re just checking our competitors and I’d say it was certainly more prevalent during that period. So it could be, because the end of year and all of us were anxious to not disappoint ourselves or all of you with the results, it could be; but the adjustments it took were not huge and it did result in a good November for us. So hopefully it’s a good start.
Nishu Sood: And with 70% from your in house mortgages being conforming, the new 3% down that was implemented yesterday by Fannie -- I’m sorry two days ago, and the discussions that seem to be ongoing, and the momentum building towards actually easing the overlays, all the discussion that been going on there as well. You probably haven’t seen anything just yet in terms of that entering the market, but are you optimistic as we head into the spring selling season that movement on that front could help you for next year.
Ara Hovnanian : Each of those steps by themselves is an incremental positive. Aggregate them together, maybe they're better than an incremental positive. It is certainly in the right direction, hopefully be really helpful for the first time home buyer and I guess one of the things that this market has been lacking. So we’re encouraged by it. It's harder to gauge precisely what the impact is going to be, because as you say, it really hadn’t come through yet. But each of them is the step in right direction.
Operator: And your next question comes from the line of Ivy Zelman from Zelman and Associates. Please proceed.
Ivy Zelman : Maybe you guys can talk to traffic levels and recognizing that you have weaker environment from a conversion and close in getting those contract signed, are you signing the people who are coming in and they actually want to buy it because they just don’t get approved for mortgage? Maybe a little color and then I’ll come back with a second question, please.
Ara Hovnanian : Sure. I think traffic overall has been holding up, which is encouraging. I think there was less urgency in the last quarter, which was part of why we stepped up the incentives. I think that was more of the issue in the last quarter versus any change in underwriting standards. That really hasn’t gotten tighter in the quarter, causing anymore problem. 
Ivy Zelman : But in terms of approvals, generally it's been stable, but is that part of the issue in terms of the weakness in the market?
Ara Hovnanian : Yes.
Ivy Zelman : Because if you think about, yes, -- 
Ara Hovnanian : Yes. Undoubtedly. There are a lot of customers that don’t even make it to the contract stage to get cancelled because we do pre-qualification, and there is no doubt that even with the steps, and hopefully the steps that were just announced will be more helpful, but the mortgage industry, including our own mortgage company are just being much tougher on underwriting. And with all the put backs that have gone on, it’s understandable that they've overly cautious. Hopefully soon the market will just get back to normal and that will definitely help the marketplace.
Ivy Zelman : Secondly, you talk about gross margins and realizing incentives had an impact, especially on the spec product, thinking about ‘15, is there risk if things don’t get better and kind of stays status quo, that you’re going to see even more margin pressure with labor costs up and sticks and brick cost up, land prices are up and if you can kind of walk us through the math, and appreciate what the downside risk could be in a status quo environment from the fourth quarter reported gross margin levels that you think are achievable in ‘15? Is the situation more pressure likely and maybe your prior thoughts about the industry, because I think everyone is looking at margins that are well above, as an industry, what historically they would be, given how much price was pulled forward and now pricing is moderating.
Ara Hovnanian : Sure. I mean it’s a tough one obviously, because there are lot of moving parts. If the market did in fact slow, which I don’t think further slowing is logical, but if it did, of course there would be a little relief on cost pressures on all fronts. I think like we saw throughout the whole downturn last time, as the market slowed down, the subs and suppliers got more competitive and that was certainly helpful. I also think if things slowed, that we finally see a little bit of relief on the land price side. And at the beginning what happens typically is sellers just are resistant to selling, because they don’t like the new prices that are necessary for home builders to make a return and you kind of see that in our land acquisitions last quarter. We just did not make as many deals and we walked away from some deals that didn’t continue to underwrite before closing. They -- typically we walked right before -- either during the due diligence or just before close time. So that would give a relief. Overall I just -- and maybe I'm a homebuilder optimist, but it just seems like demographics have got to take over and get the market with little more solid fee. The last month for us obviously felt a lot better, as we indicated. So hopefully that’s the beginning of the trend. 
Ivy Zelman : And I agree with your views on the demographics and the constructed outlook, but in an environment, maybe you can just elaborate on the cost easing? Have you seen easing on labor at all? Is that something that’s starting to improve? And what are your thoughts on labor up year-over-year? I'm sorry, it's not my second question, but third question. 
Larry Sorsby: I think we saw price -- cost pressure from the labor side really abate during 2014, compared to the cost pressure increases that we saw on 2013. The amount has slightly got up with it year-over-year because the increases we put in place in ’13 were in place for the full year ’14, but we certainly didn’t hear our divisions complain about having to rob labor from our competitors and pay higher prices in any significant way. It happened occasionally but no significant way. So I think that is kind of a new rear view mirror as the housing industry was really stable from a volume perspective year-over-year. So I just don’t think we saw much in the way of labor increases. 
Ara Hovnanian : As you know Ivy, 2013, that was the hot topic because there was a big jump in sales, big jump in starts across the country and labor wasn’t there. So everybody just raised their prices, because they could and they couldn’t handle the work, and if they got the pricing, then they would figure out a way. But 2014 was a more lackluster year. So the pressure on construction cost just wasn’t there. 
Operator: And your next question comes to the line of Eli Hackel from Goldman Sachs. Please proceed. 
Eli Hackel: Just first question on the specs, given maybe it took a little bit longer to fill them. Does that impact your view on specs for -- as you go into the spring selling season?
Ara Hovnanian : Not really, I mean in the appendix of the slide, I'll kind of flip through it so I can get you to the right page. You can see our level of specs are still relatively modest. Go to Slide 30. We did increase our level of specs very consciously and we have averaged 4.7 started unsold homes per community since 1997. As of October 31 we're at 4.6. We're just returning to back to our normal average level and we think there is benefits to be at that level. A lot of consumers wait to sell their home before they actually go out in the market and seek to buy another. So we need to have a few homes under construction at each of our communities and that’s really where we are. So we're pretty comfortable with our current position and that I think it will be stabilized at kind of that level. 
Eli Hackel: Great. And then just one quick -- really quick one. One just on the SG&A, you did a good job in the quarter there. Was there any benefit there from maybe lower bonus accruals or anything else like that? And how should we think about SG&A for next year? And then quickly what is the right GAAP tax rate for next year? Thanks. 
Larry Sorsby: First of all unfortunately, yes. We got a little help from bonus accruals, but obviously the volume is the bigger driver. A little more volume really leverages at our costs.
Ara Hovnanian :  Brad, do you want to comment on the tax rate?
Brad O'Connor: I would say it would fall back to where we were the years before we had the valuation. So high-30s, 38, 39 something like that. 
Operator: Then comes from the line of Adam Rudiger from Wells Fargo Securities. Please proceed.
Adam Rudiger: Thank you. Ara, in your prepared remarks you talked about being comfortable with some revenue growth next year due to community account gains and higher backlog. I was wondering if you had any thoughts on likelihood of absorption growth and what price -- potentially higher organic prices increases, not mix related ones.
Ara Hovnanian : Yes. Boy, I'm certainly hopeful, certainly of absorption. I think that will likely come more closer to normal than pricing growth. I think absorption will lead the way. As you can see on Slide 7, in which we mentioned, that I’ll dig in a little deeper, our average absorption during -- take out the boom and bust. '97 to '02, we averaged 44 homes per community. During the boom years we got to 55, 56. Well we’re half of that right now. It’s just abnormally low and there are not -- it’s not that there is huge growth in community count. So with just a little bit more pickup in demand, we ought to see a good steady progress toward getting to a better contract per community base, maybe not 44 right away, but boy there's a lot of room between the current 28.4 sales per community and the 44 that’s average. That will really help our SG&A. I think Larry mentioned it. Obviously growth in top-line in total helps from certain SG&A factors, but sales per community really help a lot. 
Adam Rudiger: And then sticking with what you were just talking about in terms of SG&A leverage and top-line. In the press release, you mentioned the focus in 2015 would be growing revenues to cover SG&A interest. That suggests just that that is more of the focus than gross margin. Is this pace to cover those two things more important or you -- other builders talk about optimizing the value of every single lot and not emphasizing pace as much? Just kind of which camp are you in now, and is there any change to that?
Ara Hovnanian : Well, I think there is a constant balance and it varies by community between pace and price. I think the comment we were talking about is total revenue or total sales and that’s the one governor we can control a little bit more by making certain that we grow our community count. Because even if we don’t get improvement in pace, which would certainly be the most helpful, we can grow the top-line and make our SG&A little more efficient with growth in overall revenues.
Larry Sorsby: Having said that, I if you've got a community that’s not selling, we’re far better off to test the market by increasing incentive slightly in order to get pace going. So we’d be in a market of taking some modest action to try to restore price.
Operator: And your next question comes from the line of Alex Barron from Housing Research Center. Please proceed.
Alex Barron: I was hoping you could talk a little bit about the nature of the incentives that you guys have found? Maybe it is helping you get some traction now? Is it just rate buy downs or is it just on options or what are you guys finding that’s getting consumers to step up?
Ara Hovnanian : You know it is -- we don’t have a corporate strategy, because we think it’s more important that it be managed on the very micro level at the divisions, and they look at it on a community by community basis.
Larry Sorsby: Even a customer by customer. Some customers may need cash and therefore for closing cost or something, they'd rather have that. Somebody else might rather have a lower price. Somebody else might want to have 50% off on options. It’s really packaging from a marketing perspective to the individual needs of that particular community or consumer at each community and there isn’t a one size fits all. It’s really buffet style for which -- whatever that particular customer wants. 
Alex Barron: And I guess since you seem to emphasize that the incentives were more on specs, how does that change your approach to your spec strategy, if anything?
Ara Hovnanian : Well, it really doesn’t right now. We focused on specs, because we had them and they were the quick sales and it certainly was helpful -- was helpful to the fourth quarter, and will be helpful for our first quarter deliveries. But overall, as Larry indicated, our spec level is pretty much at our normal historical level. So we don’t plan any huge variation. About 4 or so, 4.5 per community on average. We tend try to do more specs in Houston, but that market interestingly has been so strong, that they haven’t been able to get specs out in front. So we’re actually doing fewer specs in that market than normal. Markets like Virginia historically are the opposite. We hardly do any specs historically, other than town houses, when you start a building, when you have four out of six or seven sold, but single-families, we'll really do specs. There we're slightly more than normal. So it really -- and that is just a conscious effort to help even out our delivery flow a little bit and get more early deliveries in the year, and we needed to have the homes ready to do that. So it's a slightly different story overall, but when you add it all up, we're pretty close to our normal levels right now and we don’t see changing that dramatically. 
Alex Barron: And I'd like to ask one more on the SG&A. I think it was a positive surprise that the home building component was down even sequentially, even though your sales were up. How are you guys able to maintain cost or what is your cut there and is that a sustainable rate into next year?
Ara Hovnanian : Yes, I'm not really familiar that we cut anything as a percentage [indiscernible] go down on a dollar basis.
Larry Sorsby: $1 million [ph] to $48 million.
Brad O'Connor: Part of is it true up of accruals in the business units, bonuses, and bonus are drilling down.
Ara Hovnanian : Bonuses. Yes, that's probably it. 
Brad O'Connor: I would say it is a better way to go as to look at the overall number for the year and consider that going forward. I don’t think there is a meaningful shift from the third quarter to the fourth quarter that will continue.
Operator: And your next question comes from the line of Brendan Lynch from Sidoti. Please proceed.
Brendan Lynch: Ara, you mentioned that opening new communities should be aided by your recent bond offering. I had not really thought of your piece of community account growth as being capital constrained, but more a factor of subs availability and sales capacity and other factors like that. Can you just comment on what may potentially be the governor on getting the community count up over the next couple of years?
Ara Hovnanian : Yes, well frankly we were under invested for many, many quarters. So from that perspective capital was not a limiting governor. It was just a matter of finding deals that met our hurdle rates. But as you saw, we are having more success in community acquisitions and getting to our investment goals. But as we did that, we thought it would be helpful to get a little bit of extra boost. On top of that we have noticed -- which we anticipated, but we noticed our newer acquisitions had a bigger mix of larger undeveloped sites rather than the smaller developed sites. The smaller developed sites tend to take less capital. The larger undeveloped ones take a little more capital. In some cases we were able to utilize land bankers, and therefore were able to purchase the lots from them on the basis that we prefer, which is on a regular quarterly take down, but that’s the not the case always. So we just thought it would be a smart thing for us to do to get the excess capital right now. And we also thought since there was a little bit of uncertainty in the market, it would be a good and somewhat safer time to do a little land acquisition than when it was really growing steadily. So -- in which cases land prices tend to go up a little irrationally sometimes. So hopefully there is little more rationality in the market and we thought a better time to get in a little early before the market gets too much momentum on the recovery.
Operator: And there are no more questions I would like to turn the call over to Mr. Ara Hovnanian. Please proceed sir. 
Ara Hovnanian: Great. Thank you very much. Well, we’re pleased to report the quarter and some reasonable results. Needless to say we’re anxious and look forward to even improve results going forward. As we’ve kind of given a heads up, unfortunately we’ll have lopsided quarterly revenues and earnings again. But we’re continuing our path to get growth and we look forward to another good year of profitability. Thanks so much.